Operator: Welcome to the Farmer Brothers Company Q3 Fiscal 2020 Earnings Conference Call. My name is Annette, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I will now turn the call over to [Jennifer Malan] [ph] in the line.
Unidentified Company Representative: Thank you and good afternoon, everyone. Thank you for joining Farmer Brothers' third quarter fiscal 2021 earnings conference call. Joining me today is Deverl Maserang, President and Chief Executive Officer; and Scott Drake, Chief Financial Officer. Earlier today, the company issued its earnings press release which is available on the Investor Relations section of Farmer Brothers website at www.farmerbros.com. The press release is also included as an exhibit to the company's Form 8-K and is available on the company's website and on the Security and Exchange Commission's website at www.sec.gov. A replay of this audio-only webcast will be available approximately 2 hours after the conclusion of this call. The link to the audio replay will also be available on the company's website. Before we begin the call, please note that all of the financial information presented is unaudited and that various remarks made by management during this call about the company's future expectations plans and prospects may constitute forward-looking statements for purposes of the Safe Harbor provisions under the federal securities laws and regulations. These forward-looking statements represent the company's views only as of today and should not be relied upon as representing the company's views as of any subsequent date. Results could differ materially from those forward-looking statements. Additional information on factors that could cause actual results and other events to differ materially from those forward-looking statements is available on the company's press release and public filings. On today's call, management will also use certain non-GAAP financial measures including adjusted EBITDA and adjusted EBITDA margin in assessing the company's operating performance. Reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures is also included in the company's press release. I will now turn the call over to Deverl. Deverl, please go ahead.
Deverl Maserang: Thank you, Jennifer, and good afternoon, everyone. Thanks for joining us today. Our third quarter was highlighted by continued execution of our business optimization, including the doubling of capacity at our Dallas-Fort Worth, Texas facility, the formal shutdown of our Houston, Texas facility and the opening and full ramp-up of our new West Coast distribution facility in Rialto, California. Quite the seasonality impact we've historically had in our fiscal third quarter. We've experienced encouraging trends in our DSD business in recent weeks, with sales beginning to stabilize down into the mid to high 20s on average compared to pre-COVID levels, in fact, the week of March 29 was the best week we've had since the onset of COVID, with sales down only 25% compared to pre-COVID levels. Further, the month of March was the best month we've had in terms of sales performance since the pandemic took effect, which drove the strongest gross and operating profit we've had this fiscal year. Despite the anticipated choppy rebound from the pandemic across both markets and customer sets, we're pleased to see the business responding well now that we're consistently under the down 30% mark. It's a good sign as our country continues to recover. Geographically speaking, we're still feeling the impacts in some of our Eastern markets, but we see encouraging data in our Southern and Mid-Western regions. And despite lagging re-openings in California and recent outbreaks in Oregon, our most concentrated Western markets have positively contributed to our recovery. And according to the Governor of California and the Mayor of New York City, we can expect to see re-openings in those key areas as early as June 1. Overall, the fact that our DSD sales are down only around 25% compared to pre-COVID levels is reassuring. With respect to our end markets recovery trajectory varies from customer set. We're beginning to see consistent weekly improvements in our C-store markets and to even a great area extent, within our restaurant segments. However, as you might expect, we will still see headwinds in healthcare, as waiting rooms and cafeterias are still largely shut down. The lodging and casino markets are also slower to ramp up, and hotels and casinos have yet to resume serving breakfast or coffee. While the recovery in these markets may take time given the behavioral component of these activities they entail. We expect these segments to help drive sales in upcoming quarters as businesses reopen. As we follow the path to sales recovery, it's important to remind everyone that with many of our optimization initiatives now complete, we believe that we don't have to generate the same top-line numbers as we did pre-COVID to deliver comparable EBITDA. That's due to the considerable and scalable efficiencies we put in place that will benefit us tremendously as sales improve. Let's turn to an update on our footprint optimization efforts. As you will recall, when COVID hit, our initial objective was to stabilize the business, which was accomplished pretty quickly. Next, we turn to accelerating the execution of our turnaround through restructuring certain parts of the business, which is also now essentially complete. Now with the most significant initiatives within our optimization plan in place, we're zeroing in on smaller but important items that will better position us as volumes return. Our west coast distribution facility in Rialto is now fully operational. We're pleased with the speed at which we open and fully ramped up production, which was completed ahead of plan. Rialto is currently exceeding our expectations in terms of total transactions per day, and now shipping 6,000 cases per day versus the 2,000 cases it was shipping per day when we first opened. This facility is also now servicing 33 of our branches. With Rialto now fully ramped, we have turned to our production optimization as we continue to modernize our facilities and work through some COVID-related challenges, such as workforce shortages and supply chain management. While we experienced some one-time cost this quarter associated with the process, we're now beginning to see the benefits of these efficiencies we designed into our plans, which will become more apparent as businesses rebound in the coming quarters. It's also worth noting, that we're currently undergoing consolidation of some regional facilities assets in Rialto. Our Santa Fe Springs, Santa Ana and Rialto branch facilities have been moved to held for sale and will be consolidated throughout the next quarter. Ultimately, the sale of these assets will provide additional cash flow liquidity and further strengthen our balance sheet. Turning to our now shuttered Houston facility. The facility itself and the related land were sold in 2019 and we have now successfully auctioned of any of its remaining assets. The auction exceeded our initial expectations and will officially turn the building over to the landlord this month. Additionally, while any equipment or items from the facility that we don't need have been sold, anything we do need from the facility has been transitioned into North Lake and is now fully installed. The challenges we are currently facing are ramping up our skilled workforce and increasing our scale at DSW as we work to balance production as efficiently as possible across our manufacturing network. As you probably know, the nation is facing workforce shortages in some sectors, due to the lingering disruption from COVID, and we are certainly not immune. Further, while we've avoided mass outbreaks at our facilities throughout the pandemic, unfortunately we've recently experienced some smaller COVID spikes internally, which we'll continue to manage and balance going forward. There are also some other macro challenges we are working through. While we're managing our product lead times as best as we can and got ahead of most of the commodity pricing issues we've seen creeping up, we're still experiencing some supply chain delays. With the COVID-related manufacturing shutdown in China and the Suez Canal delay, the shipping industry is putting a strain on our supply chain. As such, some of our coffee brewing equipment has been delayed and thus some installations. We believe these issues will dissipate in the mid-term, but expect to continue to fill the effects for the next 12 months or so. We're pleased with how far we've come with our optimization plan and have now primarily reached our foundational near-term objectives. However, we're still working to optimize our production and modernize our other facilities. We've had our head down on staffing and getting people back to work, which have proved to be a challenging endeavor. We take pride in having some of the most skilled technicians and sales representative in the business and there is a training curve for new folks. So it takes time to bring them fully on board. However, that time is well spent and our efforts were ultimately paid back later. Further, we've strategically reviewed compensation to ensure we are competitive in attracting top talent. Before turning the call over to Scott to run through our financials, I want to quickly touch on our e-commerce initiatives. During the quarter, we launched our third e-commerce site for our China Mist brand. With e-commerce sites already up and running for public domain in Boyds, we're now beginning to ramp-up our marketing efforts to target retail customers directly. Again, this channel still makes up only a fraction of our sales but we have plans to integrate e-commerce capabilities across the whole business. So testing and learning all we can from these launches will be critical to the long-term success of our e-commerce business. Lastly, we believe that the changes we made over the past 12 months have significantly improved the underlying fundamentals of our business and are increasingly doing so. However, at present, there is still too much uncertainty in the trajectory of recovery to provide meaningful guidance. As vaccinations are increasingly made available, the country becomes safer. We are optimistic that we'll see increasing stabilization ultimately leading to recovery. Once we begin to move toward a new normal, we'll be in a much better position to provide color on what the new Farmer Brothers looks like from both a margin and performance perspective. In the interim, we are focusing on completing the full optimization of our network, especially at a Rialto and North Lake facilities, to drive incremental efficiencies that will benefit us as the business recovers. With that, I'd like to turn the call over to Scott. Scott?
Scott Drake: Thanks, Deverl. During the 3 months ended March 31, 2021, we continue to make progress against pandemic headwinds. While we reported declines in our DSD and direct ship sales channels compared to the prior year period, the results show encouraging sequential sales improvements in our DSD business compared to pre-COVID levels. Most recently in April, average weekly DSD sales were down 27% compared to pre-COVID levels, which are the most robust sustained DSD sales levels we've seen since the start of the pandemic. For the third quarter, average weekly DSD sales were down 36% compared to pre-COVID levels. As expected, the most significant DSD revenue declines in terms of dollar impact were from restaurants, hotels and casino channels, which have been slower to recover. Overall, the trends have been heading in the right direction over the past 12 months, even with the seasonality we historically felt during this period. We are now seeing significant improvements over the trough in April 2020, when DSD sales were down by approximately 65% to 70%. Our direct ship sales declined 23% in the quarter compared to the prior year period due to lower coffee volume related to COVID-19 and the impact of coffee prices for our cost plus customers. This was partially offset by improved volume from our retail business, key grocery stores under their private labels and third-party e-commerce platforms. We also experienced a bit of a sales shift into the month of April with limited customers. Our net sales in the third quarter of fiscal 2021 were $93.2 million, representing a decline of $36 million or 28% from the prior year period. As a result of the continuation of reduced volumes from our DSD business, our gross margin decreased to 25.6% from 29.4% year-over-year. However, the fiscal third quarter gross margin continue to trend a sequential improvement in each quarter of this fiscal year, which we expect will continue throughout the remainder of the fiscal year. Net loss was $13.7 million in the third quarter of fiscal 2021 compared to a net loss of $39.8 million in the prior year period. Adjusted EBITDA in the third quarter was negative $800,000 compared to adjusted EBITDA of $6.6 million in the prior year period. Note that the curtailment of the gain related to our post-retirement medical plan is now complete. With the plan sun setting as of December 31, 2020, the amortization and gain has now ended. As a result, we no longer benefit from the $7.2 million quarterly benefit that we have experienced in each of the previous COVID impacted quarters. As a reminder, EBITDA, EBITDA margin, adjusted EBITDA and adjusted EBITDA margin are non-GAAP financial measures. You can find a reconciliation to the comparable GAAP measures at the end of the Q3 financial results press release that we issued earlier today. Our total operating expenses decreased by $48.8 million to $34.3 million in the third quarter compared to $83.1 million in the same period of the prior year. These declines were attributable to a $9.2 million decrease in selling expenses and the absence of $42 million of goodwill and intangible asset impairments. This was partially offset by a $2.2 million increase in general and administrative expenses due to bonus reversals in the prior year's third quarter and a $200,000 increase in net losses realized from the sale of assets. As Deverl noted earlier, we also experienced some additional cost this quarter related to the new Rialto distribution center and the exit of our Houston facility that will not recur. We have made considerable efficiency improvements in our operations as Deverl has detailed, and we expect those to materialize in our financial results, as sales volumes continue their recovery. It's worth noting that the most significant go forward cost savings will flow through our cost of goods sold and not our SG&A, which is 1 reason that we're confident that we'll see margin expansion over the next few quarters. Notably, as volumes do come back, we also expect some expenses to return as we bring back people to operate our routes and facilities. However, the net impact will be margin accretive and we are looking forward to see what a fully optimized Farmer Brothers can do once the country as a whole reaches its new normal and fully open status. Our capital expenditures for the 9 months ended March 31, 2021, declined 45.6% from the prior year period to $12.8 million, which includes lower maintenance capital spend of $5.8 million, partially offset by other capital spending of $7 million that was primarily dedicated to key initiatives completed during the fiscal year. The spending reductions were driven by several key initiatives, including a focus on refurbished CBE equipment to drive cost savings and reductions across some capital categories due to additional cost controls implemented during the pandemic. This is the second consecutive quarter with reductions of roughly 50% in our year-over-year maintenance spend, which were driven by the recent refurbishing trends. Over 80% of our equipment was refurbished during the quarter versus less than 20% that was bought new. In past years, this ratio was around 70% new equipment and 30% refurbished equipment. However, we do expect a continued recovery in U.S. and that will begin to limit our supply of refurbishable equipment, and we think that we'll settle into a normal mix of around 70% refurbished equipment and 30% new in the longer-term. Regarding our third-party CBE initiative to begin developing revenues from our service capabilities, we've also made strong headway, and with our new CBE back-office infrastructure now built, we've now started pilot testing in more markets. The next steps of this test, includes setting up detailed third-party contracts with key relationships and building a dedicated website to help drive demand. Turning now to our balance sheet. We successfully completed a new financing agreement during the quarter, which includes an $80 million asset-backed revolving credit facility and a $47.5 million term loan. The completion of this new arrangement will provide us with greater flexibility and leveraging our assets at a lower cost of borrowing, further solidifying our capital structure and allowing us to return our focus to our customers, operations and other strategic growth initiatives. Our revolvers outstanding balance was $88 million at quarter end, representing a decline of $34 million since June 30, 2020. Our cash balance decreased to $8.5 million as of March 31, 2021 compared to $60 million as of June 30, 2020. These changes resulted from the repayments on our revolver completed under the terms of our amended credit facility in July of 2020. As of April 26, 2021, our total debt was $93 million and we had unrestricted cash of $8.2 million and $23 million of availability under our new credit facilities. We also had restricted cash on hand of $4.5 million, used to collateralize our letters of credit on the old facility until we issue the letters of credit on the new credit facility. Overall, we're pleased with the progress we've made. And we're looking forward to finishing our fiscal year in a stronger position. We also look forward to providing you with better insights into the business, hopefully, in the near-future. Once we again better insights into how our now optimized business operates in a stabilized post-COVID environment. Thank you. And I'll now turn the call over to Deverl for closing remarks. Deverl?
Deverl Maserang: Thanks, Scott. And thanks to all of you who tuned in for our call today. We're pleased with the recent trends in our business and excited to see greater benefits from all we've accomplished as the country continues to rebound in the coming months. With government representatives announcing plans to fully reopen soon in certain markets, we look forward to updating you shortly on the substantial and fundamental efficiencies that will become increasingly evident as our volumes continue to recover and our efficiency scale. We also look forward to reflecting on all the hard work our team has put into affecting our turnaround plan and demonstrating the underlying strength of our business. Thank you again, and I now will turn the call back over to the operator to field any questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Okay. And our first question is from Kara Anderson with B. Riley Securities. Go ahead.
Kara Anderson: Hi, guys.
Deverl Maserang: Hello, Kara.
Scott Drake: Hello, Kara.
Kara Anderson: Thanks for taking my question. I guess, just to start off, is it possible to quantify the revenue impact from severe weather or differences in selling days or seasonality versus the fourth quarter that it had on the - sorry, not fourth quarter, your second quarter and had on your third quarter?
Scott Drake: Yeah, sure, actually. It's quantified as the - the numbers that we put as the unusual item in there. But really, it was more of the Dallas area, since our plants are based here. It was about a week-long disruption of one kind or another. And then we had obviously a little period of recovery after that. But I think it was more a timing issue than it was really direct impact to revenues. It just caused us to have to move things around, doing a little bit of catch-up, but it did impact us a little more on the cost side.
Kara Anderson: Got it. I guess, I missed that in the release. On the DSD business down 26% I think from pre-pandemic levels in the quarter as a whole, can you, or did you discuss how March is kind of comparing to April, given that you've seen in markets kind of like you're best in the quarter.
Scott Drake: Yeah, actually we put the numbers in there. The best way to think of it really, we don't talk a lot about the months. But if you were to break the Q3 month apart, really January and February, they look exactly like November, December timeframe did. The impact of COVID was really the same as once we had the resurgence in kind of early to mid-November, all the way through February. It was March where we really had the recovery, and had much better performance within the business and it has continued in April. So we talk about how in April, we're running it down 27% to pre-COVID and it wasn't quite that good in March obviously. It was still in the 30%s or so, but much better than the trend before, because it's clearly - the low 40%s the other months before that.
Kara Anderson: Understood. And then on the direct ship business, there was a pretty big sequential change in the green pounds sold more than what I would expect for seasonality, can you talk about that?
Scott Drake: Yeah, yeah, absolutely. That was another one that we probably should have maybe called out a little more plainly, because in our discussions internally, we realized that was something maybe we didn't address fully. But you're right, there is some seasonality impact in there. But on top of that, we're also starting to cycle the exit of some of those customers we've talked about. As Deverl came on, looked at the business and then he and Chris spent time together looking at the business. This is that timeframe, where some of those customers were in last year's results a direct ship or national account customers, and they weren't in this year's results. But in the script, we also talked a little bit about how we had a little bit of a shift of some of those sales, just strict timing between March and April. So again, that it kind of got overstated in this third quarter here a little bit, because of that timing, a little bit of which was due to the weather that we just spoke off. And then I think cost plus customers was another one where year-over-year, there was a little bit of a price deflation on some of those as well.
Kara Anderson: Just got to understand the customers that are stifling out, like were those customers also in the second quarter then and may just like rolling off with the large programs or…?
Scott Drake: Yes, yes, some of them were. And there were a couple that were decent size, there were in the second quarter, yes. Yes, so we're looking to kind of hitting that anniversary of when the [acquisitive] [ph] business, just out of your guard, just under here.
Kara Anderson: Got it. And then, I know you're not giving guidance. But is there - is threshold for when we think you get back to the 30% sort of gross margin range that we can think about from a revenue perspective?
Scott Drake: Yeah, it really depends on the pace of the recovery. We're obviously hopeful that we'll get there sooner than later, and we're very confident we'll get there. It's really a matter of a couple of key events that are coming up soon will give us some good information. And one of those is obviously the opening that's kind of planned for California, the start of June. And then out east, I think they're starting to look at dates around the start of July. And kind of Deverl noted in his script, the other parts of the country are really outperforming. It's the East and the West that still they're better than they were, certainly performing better. But they're still lagging behind the other parts of the country. So we're looking to those 2 key dates. Obviously, unfortunately, we won't get a lot of great information by the end of Q4, but we'll start to see some of that in June and then obviously, once we get - that's kind of what we speak to the next few quarters we think there'll be this kind of downhill run with both sales and margin.
Kara Anderson: Got it. And then, just last, a housekeeping question, the breakout for coffee revenue in the quarter.
Scott Drake: Yeah, so roasted coffee as a percent of total sales was 65.2% for the quarter.
Kara Anderson: Great. That's it for me. Thank you.
Scott Drake: You bet, thanks, Kara.
Deverl Maserang: Thank you, Kara.
Operator: Okay. And we have a question from Sam Namiri of Ridgewood Investments.
Sam Namiri: Hello, I just wanted to follow-up on the last part of the question that Kara asked was, can you break out the places that has been fully open? What sales in the DSD business have been comparatively to pre-COVID?
Scott Drake: Sam, I appreciate the question, but we haven't historically broken it out by region or branch publicly and don't plan to provide that level of information other than what we do at the level that we've been providing.
Sam Namiri: Okay. Okay.
Scott Drake: We just haven't historically done it.
Deverl Maserang: And then, yeah, just competitive reasons, since we're the only public company talking.
Sam Namiri: Got it, okay. But you mentioned like it outperformed. Maybe can you give a little more color on what you mean by outperformed?
Scott Drake: Yeah, just the recovery rates are stronger in - I'd say the South, the Midwest, those kind of core areas of the country. If you look at - the total decline they had during COVID, not only are they performing better as a percentage of that, but the percentage of recovery. They're just further back to where they were originally then the East and the West areas. And, obviously, it's primarily due to just the reopening trajectory of the states and areas and geographies that have opened either, more fully or fully as compared to the far East and West cost or specifically New York and California.
Sam Namiri: Right, okay. Okay. Thanks. That's good for me. I appreciate it.
Scott Drake: Thanks, Sam.
Operator: Okay. And with that, we are concluding today's conference. We thank you, ladies and gentlemen, for participating. You may now disconnect.